Operator: Greetings, and welcome to the Eaton Vance Corp. Third Quarter Fiscal Year 2013 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Cataldo, Treasurer with Eaton Vance Corp. Thank you. You may begin.
Daniel C. Cataldo: Good morning, and welcome to our 2013 fiscal third quarter earnings call and webcast. Here this morning are: Tom Faust, Chairman and CEO of Eaton Vance; and Laurie Hylton, our CFO. We'll first comment on the quarter, and then we will take your questions. The full earnings release and charts we will refer to during the call are available on our website, eatonvance.com, under the heading Press Releases. Today's presentation contains forward-looking statements about our business and financial results. The actual results may differ materially from those projected due to risks and uncertainties in our business, including, but not limited to, those discussed in our SEC filings. These filings, including our 2012 annual report and Form 10-K, are available on our website or upon request at no charge. I'll now turn the call over to Tom.
Thomas E. Faust: Good morning. I'm pleased to report that Eaton Vance had a very strong third quarter, positioning our full fiscal year to be one of the best in the company's history. Our ending managed assets of $268.8 billion as of July 31 were up 3% from the end of the prior quarter, and up 39% from the year earlier. We had $8.8 billion of net inflows in the third quarter, equating to a 14% annual organic growth rate. For the first 9 months of the fiscal year, we had $20.8 billion of net inflows, also a 14% annualized organic growth rate. These strong results were achieved in what was a quite messy quarter in the fixed income market. As a reminder, we do not include in our consolidated numbers the directly managed assets and flow of our 49% owned subsidiary, Hexavest, which were $15.7 billion and approximately $500 million, respectively, at July 31 and for the third quarter. We reported adjusted earnings per diluted share of $0.52 in the third quarter, an increase of 21% year-over-year and flat sequentially. Third quarter adjusted earnings reflect approximately $0.02 per diluted share of net investment losses due, primarily, to markdowns in the fixed income investments in our seed capital portfolio. The prior quarter, by contrast, has included approximately $0.02 per diluted share of net investment gain. Laurie and Dan will discuss the financials in more detail in a moment after I conclude my comments on the business results. The past year has been a period of significant investment for Eaton Vance, including 2 important acquisitions and several key hires in support of new business initiatives. We believe these investments position Eaton Vance to better serve clients and compete more effectively in coming years. You'll recall that we closed on the acquisition of our 49% interest in Hexavest last August, giving us a strong new position in global equities. We added to our investment-grade fixed income leadership and introduced a multi-sector income capability with the hiring of Kathleen Gaffney last October. We added an industry-leading futures- and options-based institutional overlay business to Parametric, with the acquisition of The Clifton Group at the end of December. And we launched an institutional cash management services business with the hiring of a 5-person team in February. We're very encouraged with the early progress on these initiatives. Since the Hexavest transaction closed a year ago, the managed assets have increased 43% from $11 billion to $15.7 billion, on the strength of $2.9 billion in net inflows and $1.9 billion in market appreciation. In the 7 months that Parametric has owned Clifton, the AUM of the Clifton division has increased 17% from $34.8 billion to $40.7 billion, and they've grown the number of their institutional clients from 180 to over 200. Clearly, a great start. Also, as I will discuss in a moment, the early performance result and investor interest in Kathleen Gaffney-managed strategies are quite strong. As we saw last quarter, the inclusion of Clifton's Implementation Services business adds an element of volatility to our reported gross and net flows. Clifton had a strong third quarter in Implementation Services, contributing $5 billion of the total $5.4 billion of net flows we reported for Implementation. In the second quarter, Clifton Implementation Services had net outflows of $1.1 billion. The swings in this business between inflows and outflows reflect both changes in the number of clients served by Clifton, which continues on a solid growth trajectory, and changes in the active position sizes of existing clients, which can fluctuate significantly from quarter-to-quarter. The liquidity of Clifton's futures- and options-based overlays mean that they can be among the most flexible elements of the client's portfolio. For example, growing as new cash is added and shrinking as additional investments and securities are made. Some existing clients we know to be following a portfolio strategy that will result in significant long-term growth in Clifton-managed portfolio position sizes. But for other clients, there's no reliable way for us to predict how the positions managed by Clifton will change quarter-to-quarter. As we gain more experience overseeing Clifton's business, we expect to get a better understanding of the factors driving their Implementation [ph] Services flow. Recognizing that Clifton Implementation Services has different characteristics than our other investment management businesses, most notably, more volatile flows and lower fees, we have included in the slides accompanying this call, a breakdown of our gross and net flows and internal growth rate with and without Clifton Implementation Services included. Without this business, our overall consolidated gross and net flows in the quarter were both quite strong. Floating-rate income continued to attract new assets at a rapid clip, with net flows of $4.5 billion in the quarter. What's obvious in the numbers but still significant was the ongoing strength of our global income disciplines, including our Global Macro Absolute Return and Diversified Currency strategies and Parametric's emerging market equities and managed options. The full contribution of these strategies were partially offset by outflows from municipal bond products and our Large-Cap Value strategy, which on a combined basis, had $1.8 billion of net outflows or 500 -- or $900 million each. Net flows were positive across retail, institutional and high net worth distribution channels highlighting the appeal of our diversified offerings to a broad base of investors. Our retail sales organization just wrapped up its Annual Summer Sales Meeting here in Boston. The meeting focused on 3 important challenges facing the retail investor: the continuing search for income, managing volatility and maximizing after-tax investment returns. Through our suite of income, absolute return and tax-efficient strategies, we are as well-positioned as anyone to address these ongoing investor needs. I would also highlight a couple of newer strategies and 1 legacy product for which we have high expeditions for sales and assets growth in the coming quarters. First, the Eaton Vance Bond Fund managed by a team led by Kathleen Gaffney, which we launched this past January, is quickly gaining momentum in the retail channel. Fifth in sessions [ph] through July 31, the class iShares of the fund ranks the sixth best performing out of 280 in its Lipper multi-sector income peer group, realizing returns of 3.5% in a period of negative returns for most fixed income investors. The favorable initial performance, combined with Kathleen's strong reputation within the retail channel, should translate to strong investor and broker interest. We also have been encouraged by the reception of our multi-income sector strategy in the institutional market. We were recently awarded a $500 million mandate, which we expect to fund later this year. Another offering that we believe could be in the process of a significant growth ramp-up is the Eaton Vance Richard Bernstein Equity Strategy Fund. This fund is sub-advised by former Merrill Lynch investment strategist, Richard Bernstein, and it has compiled an outstanding record since its launch in October 2010. Richard uses a top-down approach with the flexibility to invest across equity markets around the world. Sales momentum is building for this strategy and could accelerate sharply after October when we have a 3-year track record in place. With current assets of almost $500 million, we feel this fund has the performance scale and name recognition to become a big seller for us in short order. A third offering that we believe to be well-positioned for accelerated growth is Parametric's Tax-Managed Core equity separate accounts. Parametric TMCs seeks to track the performance of a client's specified benchmark on a pretax basis and to outperform on an after-tax basis using active tax management. With Parametric long-established as the market leader in both the high net worth and high-end retail space, we see great opportunities for growth as tax paying investors respond to the selling equity market performance and higher tax rate by focusing increased attention on after-tax returns. Assets in Parametric TMC strategies were $17.6 billion at the end of the third quarter. You may have seen the July press release announcing the pending retirement of Duncan Richardson, Chief Equity Investment Officer of Eaton Vance Management. Duncan will retire on October 31 at the end of our fiscal year. Upon his retirement, leadership of EVM's $39 billion equity business will transition to me on an interim basis until a successor is in place. We have a search actively underway, and both internal and external candidates are being considered. Many of you know Duncan and understand that he's been a key player at Eaton Vance for many years. Duncan joined us as an equity research analyst in 1987, became a portfolio manager in 1990 and has led EVM's equity group since 2001. He was instrumental in establishing Eaton Vance as a leader in tax-managed equity investing and directed the equity group during an extended period of business growth and strong investment performance. Through his leadership, loyalty and unwavering commitment to serving clients, Duncan has helped define the Eaton Vance culture and contributed immeasurably to our growth and success. As those who follow the company closely will know, Duncan's retirement comes at a time when our equity group has struggled to meet its performance and objectives and as has experienced outflows from key strategies, most notably, Large-Cap Value. While his successor has big shoes to fill, that person has a great opportunity to contribute to the renewal of this proud franchise that stands at the very center of Eaton Vance. That renewal has already started and includes the significant additions and upgrades to our equity research team made over the past 2 years. Inquiries from qualified candidates are strongly encouraged. The key element of the Eaton Vance strategy that has helped us immeasurably in recent years is the evolution of our business to a highly diversified platform. Today, we have well-established capabilities in U.S., global and emerging market equities; municipal, high yield, Floating-Rate investment-grade, global and multi-sector income; and we have a broad suite of Absolute Return in all asset strategies. Our business has evolved from strictly active management to a broad menu of approaches covering most of the active-to-passive investment spectrum. We actively manage using, not only a bottom-up fundamental approach, but also top-down investing. At the other end of the spectrum, through Parametric and its Clifton division, we manage and implement a range of cap-weighted, fundamental and specialty index strategies. And in the middle, Parametric's systematic alpha strategies combined elements of active and passive management. In addition, through various affiliates, we also offer a range of value-added solutions, including tax management, volatility management and enhanced income generation. Across the breadth of market environment and investor needs, there is a solution offered by the Eaton Vance family. I'll finish with an update on our exchange-traded managed fund, or ETMF initiative. As many of you are aware, at the end of March, we filed an application on -- with the SEC, seeking exemptive relief for a new type of actively managed fund that combines features of ETF and mutual funds. Our concept is to offer an actively managed fund that takes advantage of the cost and tax efficiencies and shareholder protections of the ETF structure without the portfolio trading transparency that can invite front-running. ETMFs are based on passive intellectual property that we acquired in 2010. Our business strategy has 2 key elements. First, the launch of a family of Eaton Vance-sponsored ETMFs that mirror many of our most successful mutual funds; and second, to license the technology to other fund families [ph] to allow them to offer replicating ETMF versions of their most successful mutual funds. Since we last reported to you, we received comments from the SEC staff regarding our application, which we are in the process of responding to. The comments received are consistent with the constructive dialogue we have maintained, to date, with the SEC staff, and do not raise new roadblocks that we expect to have difficulties surmounting. Although there is still work -- much work to be done before ETMFs are a reality, I continue to view this product as having a potential to transform how active fund strategies are bought and sold, similar to how ETFs have transformed the delivery of index strategy. If that happens, the financial implications for Eaton Vance are quite significant. That concludes my prepared remarks. I'll now turn it over to Laurie.
Laurie Greenwald Hylton: Thank you, and good morning. As Tom mentioned, we're reporting adjusted earnings per diluted share of $0.52 for the third quarter compared to $0.52 in the second quarter fiscal 2013, and $0.43 in the third quarter of last year. Adjusted earnings differ from GAAP earnings in that we back out items that management deems either nonrecurring or nonoperating in nature. In past quarters, these adjustments have included closed-end fund structuring fees, the impact of special dividends and changes in the estimated redemption value of noncontrolling interests in our affiliates that are redeemable at other than fair value. In the third quarter fiscal 2013, adjustments from GAAP to arrive at our adjusted earnings also included costs associated with retiring $250 million of our 6.5% senior notes due in 2017, and a charge to settle a state tax matter, both of which I will discuss in greater detail. As you can see in Attachment 2 to our press release, adjustment to GAAP earnings totaled $0.34 in the third quarter of fiscal 2013, and $0.10 last quarter. Third quarter GAAP and adjusted earnings also reflect markdowns of $0.02 per diluted share in the value of seed capital investments. Mark-ups in seed capital investments contributed $0.02 per share in the second quarter. We're pleased to report that our third quarter operating results were strong in every respect. Ending assets under management increased 3% to $268.8 billion on July 31 from $260.3 billion at the end of April, reflecting net inflows of $8.8 billion and modest market price decline. Revenue increased by 6% sequentially on a 4% increase in average assets under management, reflecting a modest increase in our effective fee rate that can be primarily attributed to the number of calendar days in the quarter. Expense growth was limited to 4% sequentially, resulting in a 10% increase in operating income. We saw a modest increase in operating margin, which increased to 34% in the third quarter from 33% in the second. Our effective investment advisory and administrative fee rate increased to 45 basis points in the third quarter from 44 basis points in the second, again, primarily reflecting a 3% increase in the number of calendar days in the quarter. As I've noted on previous calls, we experienced a drag on our effective fee rate in the second quarter of each fiscal year given that half our investment advisory and administrative fee revenue is calculated on a calendar day basis and there are fewer calendar days in our second fiscal quarter. We continued to see the primary driver of our overall effective fee rate as a mix of assets by distribution channel and mandate type. Changes in business mix had a de minimis impact on effective fee rate this quarter. I would note that the average effective fee rate on net new inflows for the quarter was below our overall average, as 61% of our net inflows for the quarter were in Implementation Services, our lowest effective fee rate business. Looking forward, we anticipate that our effective advisory and administrative fee rate for equity strategies will hold steady at approximately 65 basis points, fixed income strategies at approximately 45 basis points, Floating-Rate income strategies at approximately 55 basis points, alternative strategies at approximately 62 basis points and Implementation Services at approximately 11 basis points over the foreseeable future. These average fee rates can be impacted on a quarterly basis by changes in product mix within investment mandate, as well as the recognition of performance fees, which totaled approximately $850,000 in the third quarter fiscal 2013 compared to $118,000 in the second. Shifting from revenue to expense, operating expenses increased 4% sequentially, largely reflecting increases in compensation and other operating expenses. Operating expenses in the third quarter included $2.3 million of costs that can be directly attributed to the $135 million initial public offering of a new closed-end fund, Eaton Vance Floating-Rate Income Plus Fund in June. Compensation expense is up 5% sequentially, primarily due to an increase in operating income-based incentives. Pre-bonus adjusted operating income, which drives our operating income-based bonuses, was up 9% sequentially on a 6% increase in revenue, reflecting strong cost control in a period of solid growth. Sales- and revenue-based incentives were down 4% sequentially, despite the 14% increase in gross long-term sales, reflecting the increase in institutional sales as a percentage of total sales in the third quarter. Business mix impacts the relationships between sales and incentives, as institutional sales incentives are generally paid over time, whereas, retail sales incentives are largely paid on a point-of-sale basis. In the second quarter, retail fund sales represented 51% of gross inflows. In the third quarter, that dropped to 41%. Distribution and service fees and fund expenses were flat sequentially, while the amortization of deferred sales commissions increased marginally, reflecting an increase in Class C share sales. Other operating expenses were up 6% sequentially, primarily reflecting increases in information technology costs associated with IT projects underway in the third quarter, as well as higher legal and recruiting costs. As I noted earlier, our operating margin was 34% in the third quarter, up from 33% in the second quarter of fiscal 2013 and 32% in the third quarter fiscal 2012. Based on preliminary forecasting, we currently anticipate that margins will continue at a similar [ph] range through the remainder of fiscal 2013. Equity in net income of affiliates decreased to $2.7 million in the third quarter from $3.4 million in the second quarter fiscal 2013, primarily reflecting a decrease in the company's proportionate net interest in the earnings of sponsored funds accounted for under the equity method. Equity in net income of affiliates in the third quarter included $2.5 million as our [ph] 49% of Hexavest earnings compared to $2.1 million in the prior quarter. The Hexavest contribution is reported net of tax and the amortization of intangibles. Non-operating income for the third quarter reflects investment losses of $8.9 million, compared to $1.5 million of investment gains in the second quarter fiscal 2013. Approximately $3.1 million of the 9 -- $8.9 million loss in the third quarter relates to a reverse treasury rate lock that we entered into in conjunction with the tender of our senior notes in June, which I'll address in a moment. The remaining $5.8 million in losses in the third quarter relates primarily to markdowns in the value of fixed income seed capital investments. The increase in interest expense in the third quarter reflects the write-off of $900,000 of treasury lock related to the senior note tender in June, partially offset by the impact of the issuance of new debt at a lower interest rate. As I noted in my introduction, our adjusted earnings per diluted share for the third quarter reflects several adjustments from our GAAP earnings per diluted share. The first adjustment related to $1.7 million in closed-end fund structuring fees recognized in conjunction with the initial public offering of Eaton Vance Floating-Rate Income Plus Fund in June, which reduced GAAP earnings per diluted share by $0.01 per share. The second adjustment to arrive at adjusted earnings related to the financing transactions we undertook in June. As previously announced, we issued $325 million of new 10-year senior notes for the coupon of 3.625%, and used the proceeds to repurchase $250 million of our 6.5% senior notes due in 2017 pursuant to a tender offer. Combined, these transactions allowed us to tranche out the maturity of our long-term debt, the $250 million now due in 2017 and $325 million now due in 2023, while locking in what we believe is a very attractive interest rate on the new note. The tender, however, had a significant adverse impact on the current quarter GAAP earnings. Because the interest rate on the 2017 debt was significantly higher than the current market rate, we had to offer a premium to entice the 2017 debt holders to tender their notes. The premium, when combined with transaction costs, the write-off of deferred financing costs and a loss on a reverse treasury rate lock that we entered into to lock in the tender price, totals approximately $56.9 million or $0.28 per diluted share. From a cash flow perspective, transactions were largely a wash with approximately $312 million of proceeds from the new issuance used to cover the settlement of the tender and transaction costs associated with the public offering. Looking forward, we anticipate a reduction in interest expense of approximately $1.2 million per quarter or $4.8 million per year as a result of these transactions. The third and final adjustment of third quarter GAAP earnings relates to income taxes. In previous filings -- in previous public filings, we reported that a state taxing authority had taken a draft position audit discussion that could have resulted in an adjustment to our previously filed tax returns. In June, we were approached with a settlement offer, which the company accepted and executed on July 30. The settlement agreement stipulated a lump sum payment of $19.6 million to resolve all matters relating to the tax authority's audit of our fiscal years 2004 to 2009, which we made at the end of July. The draft audit position related only to these years and will not impact any additional fiscal years. After the federal tax benefit and reserves previously taken, this onetime payment resulted in a third quarter increase in income tax expense of $6.7 million or $0.05 per diluted share. The settlement increased our effective tax rate to 52.9% in the third quarter fiscal 2013, up from the 36.1% reported in the second. Excluding the effect of the tax settlement, as well as consolidated CLO entity earnings and losses, which is substantially allocated to other beneficial interest holders and therefore, not subject to tax in the calculation of our provision, our effective tax rate for the third quarter was 37.1%, which compared to 36.1% in the second. We currently anticipate that our effective tax rate, adjusted for CLO earnings and losses, will be between 37% and 37.5% for the fourth quarter of fiscal 2013. At this point, I'd like to turn the call over to Dan to provide some commentary on our balance sheet and liquidity.
Daniel C. Cataldo: Thanks, Laurie. I'll just make a few comments, and then we'll take your questions. We finished the quarter with $379 million in cash, up from $320 million at end of the second quarter. During the quarter, we used $25.4 million to buy back 649,000 shares of EV stock, and paid $24.3 million in dividends. Total investments on our balance sheet of $545 million were largely unchanged from last quarter. Included in the $545 million is our $310 million seed capital portfolio, $177 million representing our 49% interest in Hexavest and $35 million of minority investors' capital in our consolidated funds. Laurie mentioned that the net impact of the seed investment portfolio was a charge of $0.02 this quarter. The underlying components of that $0.02 charge were roughly $6 million in unrealized losses, $1 million in realized losses, both of which were partially offset by $1.7 million in dividend and interest income. While we do try to minimize earnings volatility from our seed investments through our hedging program, there are a number of our seed investments, primarily income-oriented, that we do not hedge. These losses on these investments comprise the bulk of the unrealized and realized losses. Our weighted average diluted share count was up less than 0.5% sequentially, as the impact of option exercises was roughly offset by stock buyback. We would expect to continue to be in the market of buying back shares for the remainder of the fiscal year. While we don't currently anticipate any significant acquisition or investment-related demands on our cash, our strong cash flow of $300 million untapped credit facility and access to the capital markets based on our A- and A3 investment-grade credit rating give us ample financial flexibility to continue to take advantage of opportunities as they arise. That concludes our prepared comments. We're now ready to take your questions.
Operator: [Operator Instructions] Our first question comes from Craig Siegenthaler with Credit Suisse.
Craig Siegenthaler: First, just looking at the Floating-Rate product. I'm wondering if you can just update us on your thoughts in terms of capacity here given another quarter of very strong growth and also, the closed-end fund launch? And also, maybe update us on your thoughts on the CLO component of this business?
Thomas E. Faust: Yes. So we continue to grow our bank loan business at a very brisk pace. We're up to, I think it's $38.2 billion in assets in our Floating-Rate bank loan mandate. I think we said last time that there are only so many quarters that we can continue to grow at $5 billion a quarter, roughly, and we had another one of those. So our ability to do this does not continue indefinitely. Scott Page, who runs that business, was asked at our sales meeting 2 weeks ago, more or less, the same question you asked. His response was, "We're doing fine now. The markets are amply liquid. We have no trouble putting to work, efficiently, effectively, the money that we're getting in." And that, at some point, if and when that changes, we will close the strategy to new investment. It will be an investment-related decision, and we'll make that decision when liquidity in the market doesn't really feel like the ability to buy up loans that we like in sufficient size to populate our portfolios. We're not there yet. We may be approaching it over the coming quarters. We can't time that. It depends on both factors internal to our business, that is, of how fast we grow. But also to external factors. On that note, there have been a couple of positive developments. The supply of new loans has been increasing. There have been several fairly significant deals, including some that we like, that are helpful. It's also notable that with the sell-off in the fixed income markets recently, bond funds -- high-yield bond funds, which are a fairly significant owner of bank loans, have been in that liquidation and they've been selling loans. So there's been a new supply, both in primary and secondary market sources, that's helping the policy. But this is a big important franchise for us and the last thing that we want to do is to jeopardize that by being greedy in terms of growing beyond the capacity that we can effectively manage. In terms of CLOs, that has been an element in market, it was a huge part of the market. Prior to 2008, we participated actively in that with a half dozen or so CLO products that we managed, working with various sponsors. We've been having discussions, again, as that market has picked up again. We haven't done any transactions, but we have a couple of deals that are in process, but nothing that's really looking absolute definitive at this time. But a couple of things that are in the works. A lot of things have to come together, as you know, in terms of timing and where the markets are trading at a particular moment for a CLO to launch effectively. We're not there yet, but we've got a couple of seeds that have been planted. And in one case, it's something that's been going for -- that's been in the works for maybe 9 months or so, waiting for the exact right opportunity. And the other case, it's a newer possibility that -- in both cases, we think there's a reasonable prospect we could do deals before the end of the year. But that's certainly not an absolute.
Craig Siegenthaler: And then, just as my followup on the share count. And I heard your commentary there, but we really don't know the level of options outstanding in the money. And especially, I know you have a little bit of visibility as into the fourth quarter as into the third quarter. Should we expect the share count to kind of be steady now with buybacks offsetting that? Or could there still be an upward sloping directly on the share count over a longer period -- the next few quarters here?
Daniel C. Cataldo: It's hard to know with any precision, Craig, what's going to help us -- happen with share count. I mean, you pointed out one of the major drivers, which is the level of stock option exercises. Also, factoring into the dilution is the price of -- that the stock is trading at. You're right, we do have some visibility in the expiring options, and we know what will be coming due in this quarter. And the amount that's coming due, we could easily offset with stock repurchases. Now the big variable there is how many exercises we get of options that are not coming due, and that's a little harder to predict. So to project what it would be -- share count would be at the end of the fourth quarter, if we can get in the market and be active, buy back shares, it could be flat to slightly up.
Thomas E. Faust: I think it's fair to say that we continue to view share repurchase as an attractive use of the company's capital, and we generate significant free cash flow. And certainly, when the stock is trading at what we view as attractive ranges, you can expect us to continue to be a buyer on an ongoing basis.
Operator: Our next question comes from Dan Fannon with Jefferies & Company.
Daniel Thomas Fannon: Tom, I guess, just based on the additional color on Clifton, now that you've had a few months, a few quarters now with it under your umbrella, I mean, are you more or less positive about the outlook for this business? It seems a bit more uncertain, just given the volatility of maybe some of the gross sales and redemptions?
Thomas E. Faust: No. I think we're very positive, and I feel very good about the direction of the business that's clearly on an upward trajectory. Laurie and I were just out in Seattle at the end last week for a 2-day business overview and strategy meeting, really covering all of Parametric's businesses, including Clifton. And there's a tremendous amount of positive momentum and energy surrounding Parametric. And certainly, the repositioning of their brand and their company that was made possible by the Clifton transaction. It's pretty much a foundation of that. I think the thing that is maybe somewhat different about Clifton than we might have appreciated on Day 1 was not the trajectory of their business, which has been very much in a positive direction, but the fact that there's a fair bit of noise around that trajectory related to short-term client decisions to take on or take off positions. Because futures are so liquid and -- so easy to add and subtract, we become a short-term -- it can be a short-term variable that moves our flows around. And as you probably noticed on our slide, and as we commented on, we do think it's, perhaps, a good idea to highlight going forward more this particular aspect of our business, which is different than most other things we do. Here, $1.00 coming in may not be a sign of long-term growth. It may be a sign of a short-term decision, but underneath that is very strong growth. The Clifton people themselves look to both number of clients that they have and also, new revenue generated by new business. And both of those continue to be in a very positive direction. I would say on the Implementation Services side, and I said this in a number of -- prepared remarks, but I'll reemphasize it, 2 things going on, one is the certain amount of noise around our clients adding or taking away from the size of their overlay positions. But there's also, at least, one very significant client that is in the process of quite a long multi-quarter buildout in their Implementation Services position with Clifton, which makes us feel confident that even among the existing clients that there's an upward trajectory to the quarterly average asset balances and revenue growth here. So underlying trend is positive in terms of growing new clients, revenues from new clients. Underlying trend in terms of growth of revenues from existing clients is also positive. However, the third element is the noise in terms of quarter-to-quarter volatility in flows from current clients. Pretty hard to predict. We don't expect $5 billion, certainly, every quarter in that. Recall, just one quarter ago, it was a net $1 billion out. But the business is very good. The transition, the integration of the business is proceeding very smoothly. From July 1, we've gone to a dedicated sales force covering all the Parametric products in the U.S. institutional marketplace. And that sales force, the origin for that is from Clifton. So that team is now starting to cover all Parametric products, and we feel really quite excited about the potential for that sales team to both grow and become more effective serving the broad range of Parametric's capability.
Daniel Thomas Fannon: Okay. And then, just as a followup, if you can just give some context on the pipeline for the new business around the institution? You mentioned, I think, a $500 million win in your prepared remarks, but any other comments would be helpful.
Daniel C. Cataldo: Yes, so that's a big one for us. I mentioned that Kathleen Gaffney will add a multi-strategy fixed income mandate. We do have quite a bit of the bank loan flows in the works, no surprise there. Everyone likes bank loans these days. We've got some fairly significant opportunities in Parametric's -- especially index business, that tends to be relatively low fee. Hexavest has some good opportunities that we expect to fund before the end of the fiscal year. Is there anything else here I need to highlight? I think that's -- yes, that's probably the highlights. I certainly see continued positive momentum across the whole range of businesses. We see opportunities starting to emerge for us in Asia in a way that we haven't seen for a while, in both bank loans and some interesting opportunities there for Hexavest as well. Those are not -- that's not business that we've won, but really, some solid leads on business that might come in the future.
Operator: [Operator Instructions] Our next question comes from Michael Kim with Sandler O'Neill.
Michael S. Kim: First question. As your investment management capabilities continue to broaden out across Parametric, Hexavest, Clifton and kind of the legacy Eaton Vance equity fixed income and alternatives strategies, just curious to what extent do you think you've sort of tapped cross-selling opportunities at this point? Because it just seems like there's a fair amount of potential business opportunities looking across the franchise?
Thomas E. Faust: I would say, we're pretty early at that. I mentioned that just on the first of July that Parametric has moved to a dedicated sales force covering all of their capability. You may recall that the old arrangement was that the Eaton Vance institutional team based here in Boston covered the full range of Eaton Vance capabilities, Hexavest capabilities, as well as Parametric and the institutional market in the U.S. We really felt like with the acquisition of Clifton that, that was the right time to move to a dedicated Parametric sales organization or precisely the reason that you target, which was cross-selling. We felt it was much more straightforward for a sales team that's focused on the kinds of systematic alpha and implementation strategies that Parametric offers to make a consistent and logical cross-sell story to a client than a sales team that is covering U.S. Large-Cap Value, bank loan, Hexavest Global Equity and then the whole range of Parametric capability. So we think by splitting that into a Parametric sales team focused on what they do and an Eaton Vance sales team focused on Eaton Vance strategies, plus Hexavest, and that's an important addition to their representation, that we enhance the potential for cross-selling. I think everyone that is close to that business within Eaton Vance, both institutional and retail, will tell us that we've got lots of opportunities to do more of that than we have been doing. And that the strength we are seeing, for example, in bank loans, that we have seen in global macro, that we have seen in Parametric, that we can leverage that much more effectively to sell other capabilities. Of course, cross-selling is always a sensitive topic with the client, and it has to be done in a measured way. No client really wants to be cross-sold, at least, in an active way. But doing it right means making the client aware of what your capabilities are and being smart about matching those capabilities with the needs of the client, which is something that always comes up in a good conversation in a client's service sense. What you're seeing in the market? What's new? What are you feeling like you need? We've got a big enough bag and a broad enough bag that we feel like that there are just a whole host of solutions that we can offer, and that this new sales arrangement will help us better realize those opportunities.
Michael S. Kim: Great. That's helpful. And then, second question, maybe for Laurie. So margins have remained relatively flat over the last couple of years, even as the asset base has grown substantially, and I understand a big chunk of that growth has come from acquisitions of lower-fee assets. But just wondering how much leverage is in the model at this point? I know you gave some guidance earlier, but what's really going to drive the margins meaningfully higher from here?
Laurie Greenwald Hylton: Well, I think just in terms of, obviously, we've seen some improvement in margins over the course of the year, and we're pretty hopeful that in the fourth quarter, we would see margins that look more like the third quarter than previous quarters. That said obviously, we've got a lot of growth, we have been doing acquisitions. And we're trying to make sure that we continue to make the infrastructure investments necessary to support those businesses. So we have been doing some IT spend. I think you've seen that in the numbers this year. And we would anticipate that as we are thinking about this new ETMF initiative, while we haven't had a lot of costs going out the door relating to that initiative to date, we would anticipate we will see a ramp-up that will be coming in advance of revenue associated with that initiative. So in terms of the pressures going forward, I think we've got those things that we're looking at, obviously, to the extent that we get some help from the market and we are able to continue to grow some of the franchises that has been not necessarily contributing as largely as they may have in the past going forward. We'll have some opportunities where we'll be able to push up margin at some point. But again, we got these competing influences where we're hopeful on the growth story but we also recognize it to support the growth, we have some infrastructure investment that we have to make.
Operator: Our next question comes from Ken Worthington with JPMorgan Chase.
Kenneth B. Worthington: Kind of continuing the margin push. On Implementation Services, as that business continues to scale, how much of the expenses there are really fixed first variable? And maybe, how does that compare to the rest of the franchise?
Laurie Greenwald Hylton: As we talked about previously, the margins on Clifton are pretty much at company average. So we're not -- when bringing Clifton on neither really pushed our margin up or pulled our margin down. They were pretty much at the EV average. So I would anticipate that their business is somewhat scalable, but I wouldn't anticipate you would see significant increases in margin associated with that.
Kenneth B. Worthington: Okay. So even as the business grows, like, as you think about the future because it seems to be growing quite quickly, the margins on incremental revenue wouldn't be that different than the rest of the franchise?
Thomas E. Faust: I guess, I would jump in and say, if we're talking about their overlay services, which has been the bulk of their business, it is a high-touch, service-oriented business where you're not going to see huge operating leverage impact. It's a profitable business, great client relationship. Where they have the potential for margin growth really relates to their newer strategies. We recently passed $1 billion in assets in what they call defensive equity, which is an options-based strategies, which sells at a significantly higher fee rate and is, in effect, more of a packaged solution. It is a fully funded strategy, at least, they did offer it a fully funded strategy. Some -- not all clients invest on that basis. It's a fee rate that -- it's in the low- to mid-30s as opposed to a fee rate in the 6, 7, 8 basis points for their PIOS overlay business. So how they increase their margins isn't so much growing volume of overlay services. How they increase their service -- how they increase their margins is really changing that mix by growing more in the higher fee rate and also, potentially, higher-margin business. That is very much their focus currently in sales. So the business model that we inherited from Clifton when we bought them, we think a good model, which was to use overlay services as a way to really build very deep relationships of trust. They refer to it as an outsourced staff type position they have with their clients. And over time, from those relationships, working with clients to help them solve their needs, introduce a range of higher value, typically more expensive and higher-margin strategies. That's what they were doing. Making them a part of Parametric gives them an even greater ability to do that. And again, that's what we're trying to drive with this consolidation of the sales force. Using those client relationships and the sales professionals that Clifton has to, not only reach new clients, but also to drive sales of higher-value strategies through existing clients.
Kenneth B. Worthington: Great. That was very helpful. And just maybe on the closed-end fund business. So $135 million of the new Floating-Rate fund, I mean, that's great but it seems kind of small given the attractiveness of the asset class and maybe your expertise in the closed-end fund business. So is there something about closed-end fund -- the closed-end fund structure that may be keeping either investors away or brokers away from selling the product, again, in the context of you selling so much Floating-Rate product in other structures?
Thomas E. Faust: So closed-end funds are offered over a, generally, 3-week sales period and typically, with 1 or 2 or 3 or sometimes 4 major broker-dealers cooperating in various degrees on different offerings. So we opened our bank loan strategy in June, which was a challenging month in a couple respects. It was challenging in the sense that all of the major sponsors of closed-end funds were active in the market with their own favored product, which meant that we were not able to attract more than one major in selling our fund. So Merrill Lynch was the lead underwriter, but we did not have participation in our fund by UBS, by Morgan Stanley or Wells Fargo. So condition 1 to having a successful, big successful fund, is having broad participation. We did not achieve that. The second thing that has to happen to have a successful closed-end fund is, well, call it, the stars have to be in alignment in terms of if their existing product of a similar nature in the marketplace or they're trading currently at premiums or discount. And are there other factors in the market that make investors excited about buying not only this particular asset class, bank loan, but also closed-end funds, in general? June was a time of a very significant turmoil in the fixed income market. Bank loans performed very well. Interest rates are going up, points to the value of bank loans. These are Floating-Rate assets. Price doesn't go down when interest rates go up. But there was turmoil in the closed-end fund market, which meant that discounts or premiums on existing funds moved down sharply, that is to say, discounts widened and premiums came down. At the beginning of the month, I think our 3 previously in-the-market bank loan funds were trading at something like 6% to 8% premium and by the time we priced the deal, those were roughly at par. So current bad luck from our standpoint in terms of building the syndicate and also bad luck in terms of market conditions when we brought this deal to market. We were disappointed. We certainly had hopes for a significantly larger transaction than that. We thought even working just with Merrill that we could do much better, but it was a market environment in which getting any closed-end funds done was very difficult. I think there was one notably successful MLP fund, master limited partnership fund, that was done during June. But every other fund that was done, all the income-oriented fixed income or Floating-Rate income type products, really struggled to close. And since then, sales of new closed-end funds have really stalled. There've been -- there were no deals in July, no current -- no active deals in August. So it's a business that we know pretty well, but it also can be a quite fickle business. And we certainly don't rely on closed-end funds as a big source of our growth. But if there are opportunities there, we want to be in a position to be able to capitalize.
Operator: Our next question comes from Bill Katz with Citigroup Investment Research.
Steven Fullerton: This is Steve Fullerton filling in for Bill. It sounds like you made some great progress with the SEC for ETMFs. Just trying to get a feel for the timeline now that, if to your comments, once you submit your comments back, what's the timeline from that we should expect?
Thomas E. Faust: So the practice of the SEC staff has been generally to follow a standard -- when an exemptive application is submitted, that they try and respond within 120 days with the written comments with that. In our case, they met that objective and they came back to us with some written comments, nothing that surprised us. We've had some limited dialogue along the way, but there were no real surprises. I guess, as a technical matter, when you submit a response, that starts another 120-day clock. So what we think is a sensible strategy is rather than, without having constructive dialogue, just send in a response, starting another 120-day clock, we want to make sure that we are, in fact, answering the questions in the way that we read the questions. Not just how we read the question, but how they meant to ask the question. And sometimes, they are -- it's hard to understand exactly what they're getting at in a particular question they ask. But -- so we're in the process of trying to engage in that dialogue. August is a hard month to get much done because of vacation, that's true in Boston, and also true in Washington. But we're working with them and expect to submit our written commentary within the next several weeks. But we want that to be a commentary that's informed by discussions with the staff. And that really hasn't happened because of the time of the year we're talking about, but we expect them to over the next couple weeks. So what that means in terms of timing for approval, obviously, we're not in a position to really forecast that. But we have very solid evidence that we are moving forward in the comments where, we would view, is quite constructive and quite encouraging.
William R. Katz: Okay. Great. And I just want to get your view on some industry commentary around a great rotation from people moving towards equity. Just where you're seeing that, are you seeing that within your product set?
Daniel C. Cataldo: So our flows and equities were negative for the quarter. But putting aside Implementation, and that has a strong equity bias to that business. So I'll -- but leaving that aside, we may be an anomaly. We're a relatively small player, 1% market share. We don't tend to be driven. Our flows don't tend to be driven so much by what's happening in the market broadly but really what's happening in our -- relatively small number of niche strategies. So if there's a great rotation to equity, we participate in it in some ways and that we've got a strong franchise in emerging market equity. We've got a strong franchise in our Atlantic Capital SMID-Cap. We think Richard Bernstein's equity strategy is poised to be a quite big seller for us. I think as you probably are aware, Eaton Vance Management equities have struggled with performance. We have seen outflows from Large-Cap Value over the last couple of years. While those have not gone away, the rate of outflows has also gone down. Hexavest, as we've talked about, joined our family about a year ago, has seen significant growth and very broad interest -- institutional investors, literally, around the world, are interested in the kinds of top-down global equity investing that they do. So I don't know that we're in the best position to comment on the broader industry trend, but within our equity business, we've got very significant pockets of strength: Parametric, Hexavest, Atlanta's core team, being foremost known as Richard Bernstein. But also some areas that continue to struggle and that's, primarily, our Eaton Vance Management equity franchise.
Operator: Thank you. I would like to turn the floor back over to Dan for closing comments.
Daniel C. Cataldo: Great. Thanks for joining us this afternoon, or this morning, I should say. We look forward to talking to you at the close of our fiscal year in November, and hope you enjoy the rest of the summer. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.